Operator: Greetings and welcome to the Gentherm Incorporated 2014 Third Quarter and Nine Month Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder this conference is being recorded. I would now like to turn the conference over to your host Michael Mason. Thank you, Mr. Mason you may begin.
Michael Mason: Thank you very much. Good morning and thank you for joining us for the Gentherm Incorporated 2014 third quarter and nine month results conference call. Before we start today’s call, there are few items I’d like to cover. First, in addition to disseminating through PR Newswire this morning’s news release announcing Gentherm’s results, an e-mail copy of the release was also sent to a number of conference call participants. If any of you need a copy of the news release, you may download a copy from either the Gentherm website at www.gentherm.com or the Allen & Caron website at www.allencaron.com. Additionally, a replay of this conference call will be available via a link provided on the Events page of the Investor Relations section at Gentherm’s website. Finally, I’ve been asked to make the following statement. During this conference call, representatives of the company may make forward-looking statements within the meaning of federal securities laws. These statements reflect current views with respect to future events and financial performance and actual results may materially differ. Please see the Gentherm Incorporated filings with the Securities and Exchange Commission including company’s latest Annual Report on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K for a discussion of various risks and uncertainties underlying any forward-looking statement. On the call today from Gentherm, we have President and Chief Executive Officer, Dan Coker; Chief Financial Officer, Barry Steele; and Chairman, Bud Marx. Management will provide a review of the results, after which there’ll be a question-and-answer period. I would now like to turn the call over to Dan. Good morning, Dan.
Daniel Coker: Good morning, Michael and thank you very much for that kind introduction, and good morning to everyone out on the line we very much appreciate you are taking the time to join us today. We were quite pleased with the results of the third quarter for 2014 we are continuing to achieve all of our strategic goals both by market opportunity and by products strategy segments. So we see the third quarter as having been very positive, we may be in the minority, but we see good news coming and we continue to see good news for the fourth quarter and for 2015 as well. We are going to follow our normal format, our revenues were up substantially over the same period in 2013 and the results are expected to continue through the fourth quarter of 2014 and Berry is going to give you some details about all of the financial facts, but we’ll talk about those in just a second. Mr. Steele I’d like to you to review the details, please.
Barry Steele: Thanks a lot, Dan. Welcome everybody good day here on the line. Our earnings for the 2014 third quarter were $0.48 a share on a fully diluted basis. This represents an increase of $0.24 or double the amount from the third quarter of 2013. This improvement is the result of a favorable conversion of significantly higher revenue to net profit. Our product revenues for the third quarter were $206 million, which represented an increase of $34.8 million or 20% over the third quarter of 2013 product revenue. This increase is due to strong performance in all of our product lines and in all regions, led by the Climate Control Seat product, which increased by 28% during the third quarter over the prior year. Additionally, we acquired Global Thermal Electric Incorporated now called Gentherm Global Power Technologies on April 1, 2014. The product revenues of this new company during the quarter were $8.5 million. All early indications point to an equally strong amount of product revenue during our 2014 fourth quarter. Our gross margin for the third quarter was again higher on a year-over-year basis and as compared to the second quarter of this year at 29.9%. A number of favorable factors contributed to this increase including improved coverage of fixed costs by significantly higher product revenue, the shifting mix and products favoring Climate Control Seat, a favorable exchange rate and production cost that we incur in foreign currencies and a continually improving contribution coming from our electronics manufacturing facilities, which continue to increase production volumes. Our operation expenses were $37.5 million during the third quarter representing an increase of $6.2 million. Over a third of this increase represents the regular operating expenses of Gentherm Global Power Technologies, the new company acquired this year for a $2.4 million. Not including Gentherm Global Power Technologies, the increase in operating expenses would have been $3.8 million or 12%. Much of this remaining increase reflects increased resources that are being directed to development of existing and new products and the related marketing activities for these new products which we expect will continue to support our product revenue growth targets. Our fourth quarter adjusted EBITDA was $38.9 million which was $9.7 million or 46% higher than that of the prior year period. Again the significant increase resulted from a very favorable conversions of a much higher product revenues. Turning now to the balance sheet for a moment, our cash now totaling $65.2 million at the end of the quarter increased by $10.3 million from the beginning of the year. During the quarter we refinanced our senior bank credit facilities. The benefits of this refinancing have been to double our evolving line of credit borrowing capacity to $100 million, extend the term so that we now have five years to our maturity date, slightly lower our borrowing costs and a reduced term note amortization among a number of other benefits. Our total outstanding debt at September 30, 2014 was $94.7 million representing an increase of $12.5 million during the year-to-date period. That’s what I have for the moment and we’ll look forward to questions Mr. Coker.
Daniel Coker: Thank you very much Mr. Steele, operator we’d be delighted to open the floor for questions from the callers.
Operator: Thank you we will now be conducting a question-and-answer session. (Operator Instructions). Our first question comes from Steve Dyer with Craig-Hallum. Please proceed.
Steve Dyer – Craig-Hallum: Thank you and good morning gentlemen.
Daniel Coker: Yes, good morning sir.
Steve Dyer – Craig-Hallum: Gross margin was very, very good again in the quarter and I’m guessing you’re still pretty comfortable with the 20% to 30% band that you’ve been saying, but as you look at the factors that impact that whether that’s internal manufacturing, the Ukraine exchange rate, the mix, et cetera. Is there a certain do you feel one way or another in that band kind of in Q4 knowing what you know so far?
Daniel Coker: I think you are going to see consistent performance in Q4, I don’t think you’re going to see any major shift one way or the other. There are some positive indications that are helping us a bit you mentioned the Ukrainian currency that has impacted us for the past three quarters, it will actually continue into the fourth quarter. So we don’t see any shifts in the gross margin percentage in the fourth quarter.
Steve Dyer – Craig-Hallum: Okay. And then as it relates to – I’m wondering with respect to the electronics manufacturing that’s been all internal as I understand it so far, are you willing to give us idea when you might start generating some external revenue from that facility?
Daniel Coker: It has been our plan to satisfy our own internal needs first as a top priority and that is what the team has been challenged to do. At the same time we are beginning to integrate ourselves into the market, we for as an example last week we participated in the SAE Conversion Show here in the Detroit Michigan area where we had a booth and introduced our expanded capabilities to design, develop and produce ECU modules and any types of electronics required by our common customers here. Our long-term goal is to engage customers in development discussions now and to begin generating revenue as quickly as we can, given that our top priority is to establish ourselves as our primary customers we build up that competence capability in both our North American and Asian facilities today. And then a year or so we’ll be building a facility, expanded facility in the European market.
Steve Dyer – Craig-Hallum: Okay, great. And then as you look forward into next year and I know you haven’t said anything specific about guidance. But is there any reason kind of seeing what you see with new program wins et cetera that you wouldn’t be able to continue to outgrow global production by 10 to 15 points call it as you have been?
Daniel Coker: We look at next year and we see a landscape that will allow us to continue hitting our corporate goal, which is 10% to 15% growth. And we right now at this time there is a lot things that change in the world as you go through a year. But right now we feel confident that those numbers are still quite achievable.
Steve Dyer – Craig-Hallum: Okay. I will hub back in the queue, thank you.
Operator: Thank you. Our next question comes from Matt Koranda with ROTH Capital. Please proceed.
Matt Koranda – ROTH Capital: Good morning, Dan and Berry thanks for taking my questions.
Daniel Coker: Hey Matt.
Matt Koranda – ROTH Capital: Wanted to touch on guidance for 2014 for a moment. It looks like it just the semantics changed a bit in the release, so you guys said greater than 20% year-over-year revenue and growth in this release versus at least 20% in the last release. First of all is there any difference between those two items, the two pieces of commentary there? And then second, what are some of the factors that could cause 2014 revenue growth come in around 20% and then what are some of the factors that could swing it closer to maybe the 22% to 23%, 24% growth area?
Daniel Coker: There was a very slight modification in the language it seems that disingenuous for us to say that it was going to be 20% or so. And we wanted to make sure that we were not forecasting an off fourth quarter, which we are not. The language was changed to indicate greater than 20% and with the indications that we would continue the type of path that we’ve seen in the last three quarters of 2014. There was no intension there was no strategy to try to shift the language it was a minor modification, apparently spooked some people, but there is no intent we still see a good solid fourth quarter. The variations there that we’ve seen in the past to the second part of your question are really customer driven and it really has to do with cutoff periods for holidays and whether people make commitments to hold inventory over the holidays for us or not. Those are typically a couple of Asian customers that have in the past shown a little bit an erratic purchasing pattern, but even if both of those customers went wild it wouldn’t have enough to swing us off of our current forecast for the fourth quarter.
Matt Koranda – ROTH Capital: Okay, that’s very helpful. And then just touching on the F-150 transition at Ford, can you provide an update on how sales trended before during Q3? I believe they said production was down by 9% during the quarter? And then also how is it tracking today, what do you are seeing? Just an update there would be helpful.
Daniel Coker: I think that Ford is achieving their plans for the changeover and I think they are going well, for us whatever hiccup we may have seen in the F-150 line has been more than offset by the K2XX programs outperformed. So for us we really didn’t see any significant impact at all, nor do we anticipate any in the end of fourth quarter.
Matt Koranda – ROTH Capital: Okay, great. And then just one more from me here on gross margins. I think it was asked a little bit earlier you guys have run closer to 30% now. But can you quantify the margin lift from each of the items that Barry mentioned in the prepared remarks, so I believed he broke it out into improved coverage of fixed cost, better CCS mix, favorable exchange rate and I think there was one other item, but is there a way to kind of break it into those buckets and just quantify some of the lift you guys have gotten?
Barry Steele: We wouldn’t necessarily want to quantify each I can prioritize things though, we would say the mix was probably the most important factor. Maybe representing half if you would of the benefit we’re seeing. The currency is probably here to stay for a while we would think although it might cause a little bit inflation in certain markets that will affect us at some point.
Daniel Coker: And the rest are kind of insignificant, it really Matt if you think of it this way, if you think of one of our key strategies that we’ve been trying to unfold in 2013 and ‘14. We’ve been trying to concentrate our efforts on increasing as dramatically as we can our sale of heated and cooled and heated and ventilated seat products. We’ve been lucky that’s been very well accepted in the market place and so now you see in our current run rate a very high in significant portion of heat cool and heat vent product is basically overwhelm the old lower margin more commodity type heater business only. So that has really been the driving factor behind why we show good solid steady increased gross margins. Plus coupled with our very strong efforts by all of our manufacturing facilities to stay within and to low their operating budgets while exceeding the manufacturing targets for that. So it’s a very I think respectable performance level, we did target 28% is a key milestone early on in the relationship between the new company, and today as you all have noted we’re targeting 28% to 30% and we believe we’re getting close to a good steady run rate at that level, but it has a lot to do with the product mix.
Matt Koranda – ROTH Capital: Okay, that’s helpful. One more here if I may, is there any reason to believe that revenues in Q4 would be down sequentially from Q3? Maybe if you could just address that directly that would be helpful and then I jump back in queue.
Daniel Coker: Well there is a possibility that if you go down, but it’s not probable. We see the fourth quarter is being another good solid quarter for us and we’re not anticipating any significant change and based on what we see today we don’t anticipate one.
Matt Koranda – ROTH Capital: Okay, great. That’s it from me. Thanks guys.
Daniel Coker: Thanks a lot.
Operator: Thank you. Our next question comes from Samik Chatterjee with JPMorgan. Please proceed.
Samik Chatterjee – JPMorgan: Hi, thanks for taking my question. I was just curious I mean in the back half of 2014 you’re comping on a very strong growth in the back half of 2013, but can you give us some color on the pace of sort of upcoming launches and which quarter might be sort or more lumpier on that and what are you seeing sort of visibility around these launches, what we should be keeping in mind as we go ahead in terms of looking at your revenues?
Daniel Coker: Sure, good morning sir. What we’ve been able to achieve in 2014 is a very good solid steady run rate in access of $200 million per quarter. When we look forward to 2015 we see a little bit more back end loaded year, where with the new programs we’ll be launching at mid-year and beyond. So we’ve been very pleased with our 2014 as performed. We were able to kind of jump start and get ahead of the year, a little bit at the end of ‘13 and we’ve been able to maintain and manage that growth through all the 2014. When we get to 2015 you’ll see a little bit more as you said lumpiness in the second half as we have some new platforms and new programs loading-in in the second half.
Samik Chatterjee – JPMorgan: Great. And just sorry to go back to the revenue guidance question here for the full year, now based on the last comment that you made that it’s very unprobable that sequentially you see a decline in the revenues from 3Q level, is it fair to say that right now if we are thinking about your full year revenue guidance and probably in the fourth quarter you’re doing another sort of $206 million at least, sort of looking at that greater than 20% guidance as more like 23% year-on-year growth at least for 2014 or would that be a fair way of putting it?
Daniel Coker: Well you guys have been putting in many different fair ways. And we’ve been trying to respond as consistently as we can. We see no major shift in fourth quarter revenues, either up or down. We think that it’s going to be very steady and very comparable with the second and third quarter. And those numbers, if you are very good math as Barry is would indicate to you that it will be over 20% and could run as high as that 22% to 23% number you were referenced.
Samik Chatterjee – JPMorgan: Great. Thanks for taking my questions. Thank you.
Daniel Coker: Yes sir, thanks a lot.
Operator: Our next question comes from Gary Prestopino with Barrington Research. Please proceed.
Gary Prestopino – Barrington Research: Hi, good morning. I’m going to ask you a quarter on Q4 sales, but I think that’s been feed up pretty well here. Just in terms of Europe really could you – you mentioned that European day sales were higher, but could you give us a percentage of how high they were and what you’re seeing or thinking for Q4 and into next year as well?
Barry Steele: Yeah, Gary, in the press release, we actually give you our European based our euro denominator revenues.
Gary Prestopino – Barrington Research: Okay.
Barry Steele: They were EUR38 million this quarter versus EUR35.7 million in the prior year quarter. I think the answer to your question, but the other question, what was the other question you had? You have two questions.
Gary Prestopino – Barrington Research: You guys, I mean you seen a precipitous slowing in Europe, I know I’ve heard that the car sales are starting to be impacted by economic issues there. And what are you thinking in 2015 and that for Europe as well?
Daniel Coker: Gary, this is Dan Coker. We are seeing an interesting kind of I would say shift in demand in Europe right now. The majority of our customers are located in Germany and the German market even though the some of the other countries are reporting some slightly bumpy revenues, the German market has been pretty solid. So, we’re not seeing any major shift in demand in fact I’d favor our demand in Europe has been based upon the German market condition has been very strong. As we look forward into the 2015 period, we believe that, that same trend will continue. We believe that you’ll see a strong solid Germany which depends very heavily on its export market. And you’ll see some of the weaker countries will continue to have some difficulties on and off. But overall we see that the European market is kind of hit bottom and is beginning to show some strength in places, particularly in places where we happen to luckily be concentrated, which is the German market.
Gary Prestopino – Barrington Research: Okay, thank you.
Operator: Thank you. We have a follow-up question from Steve Dyer with Craig-Hallum. Please proceed.
Steve Dyer – Craig-Hallum: Thanks. GPT as I guess it’s now called, how do you think about the revenue growth rate for that next year I know you’re throwing a lot of resources at it and you’re not going to want to break it out forever, but just anecdotally how are you feeling on that?
Daniel Coker: We feel pretty good about it actually. We think that there is good strong opportunity that as we’ve indicated in the past that they have the 30 some odd million dollars’ worth of revenue that we acquired we’ll be able to grow in access of our corporate goals of 10% to 15%. So I think you’re going to see some pretty good responds. As that team is they able to get out and use more resources to be able to expand the existing product into broader markets and new products coming on in the future. So I think you’re going to see quite a happy time with our new Global Power Technologies Group.
Steve Dyer – Craig-Hallum: Great. And then as it relates to operating expenses going forward, I mean is it pretty safe to say that should continue to tick higher sequentially 37.5 between to this quarter. Is that number going to keep bumping up or was there anything onetime or cost it should come out there?
Daniel Coker: Our business has been growing at about 20% on the top-line and we do have to increase our operating expenses to be able to service and handle that growth. And so it is reasonable to assume that we’re going to continue to see operating expenses tick up as the business grows and expands. Plus I think we’ve also indicated that we have strategically made the decision that we’re going to invest in various segments that we see particular good long-term strength in, the best example of that is our electronics business. We are currently investing heavily and developing the capabilities and capacities necessary to have a strong electronics team and that cost is upon us now and continues to grow and the majority of revenue or the benefit from that will be evident in the next two to three years as you see other new business outside of our own internal consumption expand.
Steve Dyer – Craig-Hallum: Okay, thank you. And then one last question Barry a housekeeping question can you give us a stock comp expense for the quarter? I know you didn’t include a cash flow statement in the release?
Barry Steele: I don’t have it right at this moment, but I’ll follow up with you.
Steve Dyer – Craig-Hallum: Okay, thank you.
Operator: Thank you. Our next question comes from Josh Goldberg with G2 Investment Partners. Please proceed.
Josh Goldberg – G2 Investment Partners: Good morning, guys a great quarter.
Daniel Coker: Thank you, Josh.
Josh Goldberg – G2 Investment Partners: I had a couple of quick questions. First on the mix from the seat heater to the climate control are those that the seat heater business was actually down roughly around $3 million in the September quarter, how much of that was a mix shift to the higher priced CCS offerings? And how much of that was just sort of global production being a little bit softer? And I have a follow up.
Daniel Coker: We are continuing to see a very pleasant change of or migration I should say rather than change from a simple heated product up to the heat vent and then perhaps to the heat cooled product line as well. I didn’t see a big or any fall off I guess is a question I would have in the seat heater business by itself, it actually went up by about 10% as compared to the heat cool heat vent business going up by 28%, but we do see that trend as the customers around the world are accepting heat vent and heat cool at a faster pace than we’ve been able to expand the heated business.
Josh Goldberg – G2 Investment Partners: Okay, great. And then on the heated steering wheel, I certainly feel like there is some pretty big opportunity there that goes decelerated down to only 14% in the September quarter, do you expect a stronger fourth quarter in the heated steering wheel area? And how do you see that playing out next year?
Daniel Coker: We see the heated steering wheel as being an excellent opportunity for us, we spent a little bit of time getting involved in that and it’s been one of our best performing segments in the last two years since we first introduced the product into the marketplace, and we do see not unlimited, but we do see a very good window of opportunity over the next few years for a heated steering wheel product line.
Josh Goldberg – G2 Investment Partners: But the growth down September was that’s just sort of anomaly that was only 14% or it was something -?
Barry Steele: You could probably attribute that to tougher comps as you move through the year.
Daniel Coker: We’re kind of catching up with the success we had last year Josh is that we had a very strong third and fourth quarter last year in this product line. And so on top of that growth we’re also seeing an additional 14% or 15% growth there. So it’s still performing quite well.
Josh Goldberg – G2 Investment Partners: Okay. Last one from me if that’s okay, when I look at your business in 2015 I know people are trying to triangulate 10% to 15% and obviously the global economy and other issues have to play into the role, but to me it would seem like whether you grow 10% or 15% your expenses, which include the cost revenue because your gross margin should continue to improve as well as your expenses should not grow as fast as you’re revenue. So you will continue to see margin expansion in 2015 as more of your new acquisition which has a higher margin and if Climate Control Seat business takes a bigger part of your revenue has a higher margin, is there any reason to believe that that will not be the case that you shouldn’t see margin expansion in 2015?
Daniel Coker: Well that’s actually one of our key corporate strategies to try to grow our revenues at a significantly higher rate than we grow our operating expenses, and to keep focused on the operating cost to make sure that our margins stay within our target. So you’re exactly right that’s our strategy and that’s exactly what we’re pushing.
Josh Goldberg – G2 Investment Partners: Okay. And was anything about the tax rate affect that at all in 2015, do you think the tax rate should go up in anyway Barry or do you feel this is a right number going forward?
Barry Steele: It’s probably pretty good I would say there is more factors that may show a slight decrease in the tax rate than increase it, but I would our own projections we’re using the same rate as you see here in the third quarter.
Josh Goldberg – G2 Investment Partners: Okay. Any update on the Mattress side or some of the other opportunities that you have in terms of new products?
Daniel Coker: I would say that we’re positioned ourselves very nicely with our key strategic partner the Mattress Firm team. We are very happy with the development of the next generation of product that should be coming out in early spring of next year and we’re pretty excited about where that’s going. The global thermoelectric product, which is an oil and gas field product line we’re looking at expanding our capacities and capabilities to be able to service more customers in that market. Our team is very excited about the opportunity to get out into broader markets and I think that’s going to develop very, very nicely. And I think you’ll see some new and interesting products over the next three to five years.
Josh Goldberg – G2 Investment Partners: Got you. Okay congratulations again, thanks so much.
Daniel Coker: Thank you very much Josh.
Operator: Thank you. Our next question comes from Jeff Bernstein with AH Lisanti. Please proceed.
Jeff Bernstein – AH Lisanti: Hi, good afternoon guys. So we’ve talked about the importance of getting the first German luxury customer in heat cool, you want to speculate at all on the odds of doing that next year and how you’re position there?
Daniel Coker: No I don’t speculate ever, I am very conservative guy. I would tell you though we’ve already made some good head road with our German partners and we have some of the German companies are currently offering a product of ours that this is an example, the portion of Panamera has our heat vent system in it today. So we’re making headway and we’re making progress with all of the German companies as well as the couple of the other European companies. And we’ve been working at it for a while and we’ve been working hard to develop another set of generations of the existing technologies as well. So I think that’s where our best opportunities occur as coming out with something new and more innovative for that very important market.
Jeff Bernstein – AH Lisanti: Any reading on when that kind of product would be available?
Daniel Coker: In my lifetime.
Jeff Bernstein – AH Lisanti: Thanks.
Daniel Coker: Operator did we disconnect?
Operator: There are no further questions at this time. I’d like to turn the floor back over to management for closing comments.
Daniel Coker: Alright thank you very much, operator. And thank you very much for all of those insightful questions I think the colors on our line kind of drill down to the real core results in the third quarter have been very positive. There has been quite a bit of discussion about the change in language, on our guidance statement and how that might impact the fourth quarter. I hope we’ve been able to address that satisfactory for everyone, to reiterate we don’t see any major shifts in the fourth quarter revenues compared to the other quarters of this year. And we do see the opportunity before us to be able to maintain our 10% to 15% corporate goal growth for 2015. All-in-all I think it’s been a good quarter, I think we’re going to finish up with a good year for this 2014, and we ask you to join us again in about 90 days to review the final results of 2014. Thank you very much for your time and attention.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. And thank you for your participation.